Operator: Good day, everyone, and welcome to Community Healthcare Trust 2025 Second Quarter Earnings Release Conference Call. On the call today, the company will discuss its 2025 second quarter financial results. We'll also discuss progress made in various aspects of its business. Following the remarks, the phone lines will be open for a question-and-answer session. The company's earnings release was distributed last evening and has also been posted on its website, www.chct.reit. The company wants to emphasize that some of the information that may be discussed on this call will be based on information as of today, July 30, 2025, and may contain forward-looking statements that involve risks and uncertainty. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the company's disclosures regarding forward-looking statements in its earnings release as well as its risk factors and MD&A and its SEC filings. The company undertakes no obligation to update forward-looking statements, whether as the result of new information, future developments or otherwise, except as may be required by law. During the call, the company will discuss GAAP and non-GAAP financial measures. A reconciliation between the 2 is available in its earnings release, which is posted on its website. Call participants are advised that this call is being recorded for playback purposes. An archive of the call will be made available on the company's Investor Relations website for approximately 30 days and is the property of the company. This call may not be recorded or otherwise reproduced or distributed without the company's prior written permission. Now I'd like to turn the conference call over to Dave Dupuy, CEO of Community Healthcare Trust. Please go ahead.
David H. Dupuy: Great. Thanks, Jamie, and good morning. Thank you for joining us today for our 2025 second quarter conference call. On the call with me today is Bill Monroe, our Chief Financial Officer; Leigh Ann Stach, Chief Accounting Officer; and our new Senior Vice President of Asset Management, Mark Kearns. Our earnings announcement and supplemental data report were released last night and furnished on Form 8-K, along with our quarterly report on Form 10-Q. In addition, an updated investor presentation was posted to our website last night. As previously announced, Tim Meyer departed the company effective May 31st. We are excited to have Mark on board as our new Senior Vice President of Asset Management. He has over 25 years of healthcare real estate experience, including leasing and managing medical outpatient properties, most recently in leadership positions with Welltower and Healthpeak. Bill will review the financial details in his comments, but I wanted to provide an update on the status of our geriatric behavioral hospital tenant. Although their performance has stabilized over the last couple of quarters, they have been unable to pay us full rent and interest. As discussed on previous calls, the tenant has been exploring strategic alternatives, including a potential sale of its business. On July 17, 2025, the tenant signed a letter of intent for the sale of the operations of all 6 of its hospitals to an experienced behavioral health care operator and is under exclusivity with that buyer. Among other terms and conditions of the sale, the buyer would sign new or amended leases for the 6 geriatric hospitals owned by CHCT. The tenant and CHCT are in active negotiations with the buyer, so we can't share more details at this time. And while we can't provide certainty that the transaction will close, we hope to share more information over the next couple of quarters as we move through the process. As disclosed in our filings, we determined that the collectibility of the remaining interest balance and unreserved notes related to this tenant were not reasonably assured. Our notes and interest are now fully reserved for this tenant and rent continues to be recognized on a cash basis. During the quarter, we received $260,000 from the tenant that is included in revenue compared with $165,000 in the prior quarter. As for other components of the business, our occupancy decreased slightly from 9.9% to 90.9% to 90.7% during the quarter, but we continue to see good leasing activity in the portfolio. We have 3 properties or significant portions of them that are undergoing redevelopment or significant renovations with long-term tenants in place when the renovations or redevelopment is complete. One of those projects commenced its lease on July 1st. Due to some free rent built into the lease, we expect this property to contribute AFFO later in the fourth quarter of 2025 and into the first quarter of 2026. Though we did not acquire any properties during the second quarter of 2025, on July 9, we acquired an inpatient rehabilitation facility after completion of construction for a purchase price of $26.5 million. We entered into a new lease with a lease expiration in 2040 and an anticipated annual return of approximately 9.4%. Also, we have signed definitive purchase and sale agreements for 6 properties to be acquired after completion and occupancy for an aggregate expected investment of $146 million. The expected return on these investments should range from 9.1% to 9.75%. We expect to close on one of these properties in the fourth quarter with the remaining 5 properties closing throughout 2026 and 2027. Considering the company's current share price, we did not issue any shares under our ATM last quarter. However, we are actively working on capital recycling opportunities and would anticipate having sufficient capital from selected asset sales, coupled with our revolver capacity to fund near-term acquisitions. We had one very small disposition in the second quarter, providing approximately $600,000 of proceeds and generating a small capital gain. Going forward, we will evaluate the best uses of our capital, all while maintaining modest leverage levels. To finish up, we declared our dividend for the second quarter and raised it to $0.4725 per common share. This equates to an annualized dividend of $1.89 per share. We are proud to have raised our dividend every quarter since our IPO. That takes care of the items I wanted to cover, so I'll hand things off to Bill to discuss the numbers.
William G. Monroe: Thank you, Dave. I will now provide more details on our second quarter financial performance. Let me start by detailing the impacts to our financials related to the geriatric behavioral hospital tenant that Dave described earlier. Other operating interest revenue in the second quarter was negatively impacted by the reversal of $1.7 million of interest receivables from this tenant. In addition, we recorded an $8.7 million credit loss reserve on the notes receivable from this tenant, which utilized the signed letter of intent valuation of the tenant's operations. Next, let me detail the impact related to the departure of our former Executive Vice President of Asset Management. Within general and administrative expense, we recorded a charge of $5.9 million for severance and transition-related expenses. Combining the reversal of the interest receivable with the severance charges reduced second quarter FFO by $0.28 and AFFO by $0.06 per diluted common share. Moving back to the top of our income statement, total revenue for the second quarter of 2025 was $29.1 million. But if you exclude the $1.7 million reversal of interest receivable I just mentioned from the geriatric behavioral hospital tenant, total revenues would have been approximately $30.7 million. When comparing this $30.7 million to our total revenue in the first quarter of 2025, which was $30.1 million, our core portfolio would have achieved 2.2% total revenue growth quarter-over-quarter. Moving to expenses. Property operating expenses decreased by approximately $500,000 quarter-over-quarter to $5.6 million for the second quarter of 2025. This reduction was primarily related to the higher seasonal expenses in the first quarter, including snow removal and utilities expense at several properties. Total general and administrative expense was $10.6 million in the second quarter of 2025. But if you exclude the $5.9 million of severance and transition-related payments I mentioned earlier, G&A expense was $4.7 million, a reduction of approximately $400,000 quarter-over-quarter. This reduction was primarily related to the higher seasonal G&A expenses in the first quarter from our annual employer HSA funding, higher 401(k) contributions and employer tax payments from stock vestings during the first quarter. Interest expense increased by $240,000 quarter-over-quarter to $6.6 million in the second quarter of 2025 because of increased borrowings under our revolving credit facility late in the first quarter to fund the $10 million property acquisition as well as one extra day of interest in the second quarter compared to the first quarter. Moving to funds from operations. FFO on a diluted common share basis was $0.23 in the second quarter of 2025, but remember that this was reduced by the $0.28 of onetime items I discussed earlier. Adjusted funds from operations, or AFFO, which adjusts for straight-line rent and stock-based compensation, totaled $13.6 million in the second quarter of 2025, which on a diluted common share basis was $0.50, but also remember that this was reduced by the $0.06 of onetime items I discussed earlier. That concludes our prepared remarks. Jamie, we are now ready to begin the question-and-answer session.
Operator: [Operator Instructions] Our first question today comes from Rob Stevenson from Janney.
Robert Chapman Stevenson: Dave, the acquisition that you did, was that out of the $100-and-some million pipeline? Because I think it was 7 assets before and now down to 6. Is that accounting for that?
David H. Dupuy: Correct, yes, that's right.
Robert Chapman Stevenson: And then how are you guys thinking at this point about funding the remaining 25 acquisition out of that pipeline given where the stock price is now?
David H. Dupuy: Yes. No, we are very focused on not wanting to continue to just fund those under the revolver and we are working -- I think I've mentioned in prior calls, we're making good progress on our capital recycling efforts. We don't have anything to disclose today as far as details related to that. But our goal is to use that capital recycling that we've talked about that is underway that would pay for the upcoming pipeline that we have, that forward pipeline that we're expecting late this year and into next year. So that's why we're laser-focused on getting those capital recycling projects done, our goal. And we think based on the activity that we've had so far, we should be able to do that.
Robert Chapman Stevenson: Okay. And then are you guys still pursuing other options with the geriatric facilities just in case that deal falls through? Or do you guys think at this point that the likelihood of -- nothing is certain, but the likelihood of a deal happening there is strong enough that you've got things to focus on elsewhere at this point?
David H. Dupuy: Look, until the transaction closes, we're going to be very involved. Obviously, we've got significant interest in making sure that this transaction goes through. And we think we've got the ingredients to get the transaction closed, which is an interested buyer, an interested seller and obviously, us as a meaningful debt holder. We think that this is the best buyer and so we're excited. They have very similar properties in the portfolio. It's a -- they have financial resources, they have good management team and so we're excited about it. But we did have other interested buyers in the process. And so if for whatever reason, during this period of time where they're doing additional diligence work, they would step away or if we don't feel like at the end of the day, they could bring it to closing, we do have other interested bidders that we would involve in the process. So we're happy with where we sit today, but we're laser-focused on making sure that this gets closed ideally by year-end.
Robert Chapman Stevenson: All right. And then I guess the other question there would wind up being, has -- given the financial issues of the existing tenant, is there any deferred maintenance or stuff where you guys are going to need -- would need to put in any substantial amount of money to bring them up to a certain level before a new lease would be signed by either that -- either the buyer of that company or some other tenant? Or are you anticipating at this point that any type of further investment in those assets in the near term will be relatively minor to get leased?
David H. Dupuy: Yes. No, it's a fair question, but we do think that any sort of work on the buildings would be relatively minor. I don't think, in general, we make sure that we look at those buildings on a regular basis, and we think the buildings are in good shape. So we wouldn't anticipate significant capital required in order to make it -- make those buildings ready for the next buyer.
Robert Chapman Stevenson: Okay. And then last one for me, Bill, if I strip out the $5.9 million of severance and transition-related charges out of G&A, is that -- whatever point, whatever number, is that a good run rate you think for the final couple of quarters of 2025 for G&A? Or is there other stuff that will be impacting that, that we should be thinking about as we update our models?
William G. Monroe: Yes. As you know, we don't get into guidance, but you're right to be thinking about what were the onetime items that affected this quarter to look at what would have a more normalized second quarter look like.
Operator: Our next question comes from Connor Mitchell from Piper Sandler.
Connor Mitchell: I guess, first, just going back to the transaction environment and funding possibilities. You guys have used the revolver recently and focusing on capital recycling instead. But I'm just curious, is there kind of a top of the range or a threshold that you're keeping an eye on for either the dollar amount used on the revolver or a leverage metric?
William G. Monroe: Yes. I would say where we are now, obviously, is a level that we're comfortable with. But as Dave discussed, as we look at our acquisition pipeline, trying to time that with dispositions and capital recycling is how we're looking at the remainder of our pipeline. And so we obviously have availability under revolver and significant availability and cushion to our covenant levels within our revolver. So we certainly could take the revolver higher, but our plan is to kind of keep leverage at levels that we're at currently as we kind of look forward over the next few quarters.
Connor Mitchell: Okay. So in essence, it's almost using the capital recycling approach instead of the ATM in the current environment, if I'm understanding correctly.
David H. Dupuy: That's correct.
Connor Mitchell: Okay. And then just turning to the geriatric tenant as well, maybe focusing more on the credit loss and the notes receivable related to the tenant. Just want to make sure if there's any other notes receivable with other tenants that are outstanding? And then also just how you guys -- and I think this has been discussed before on calls, but how you're thinking about that process maybe going forward, if that remains a possible transaction process with other tenants either in the portfolio or potential tenants in the future?
David H. Dupuy: So I think -- and Bill will stop me if I'm wrong, but I think we've got 2 notes remaining that have an outstanding balance of approximately $4.1 million. So we have -- after the reserve against these notes with the geriatric site tenant. And yes, Connor, I hear you, look, this business went through a really difficult time during COVID, opening 2 new hospitals, serving a geriatric population. Their borrowings were significant during that period of time just to get those facilities up and running and get those -- and it got to leverage levels that ultimately were not sustainable based on how the business has performed over the last year or so. And suffice it to say, doing a similar amount of leverage with a tenant is not something that's core to our business nor it's something we would look to do going forward. So yes, we're focused on getting assurance resolved and having a strong operator taking over leases in our existing properties. And as we've said before, would not look to lever up with another tenant going forward. So -- and really haven't with our track record. This was an unusual situation in an unusual time during COVID.
Connor Mitchell: Yes, of course. No. And then so the 2 notes that are remaining on the balance sheet for $4 million, just an update on those tenants, they're in good standing and then maybe just the watch list overall as well, if there's any other new tenants that might be popping up or if you're seeing the trend kind of go more positive instead and seeing tenants fall off the watch list.
David H. Dupuy: Yes. So as far as the notes go, yes, the tenants are paying and performing as expected, and we feel good about those notes and no issues associated with those. And our watch list has remained pretty consistent. As I've mentioned in prior calls, we have 15 to 20 names that are on that tenant watch list. And we'll -- some names will come on -- while other names come off based on working through various tenant issues. We've got over 300 tenants. And so that's kind of a normal process for us. And I'd also mention that there are no other top 10 tenants that are on our watch list this quarter. I know that's been a question that's come up before. So look, overall, I think we've got a portfolio that is doing what it's designed to do. It's diversified. We don't have big concentrations. And I think our tenants overall are performing well. But we'll always manage those watch list tenants aggressively and make sure that they continue to perform relative to our expectations.
Operator: [Operator Instructions] Our next question comes from Michael Lewis from Truist Securities.
Michael Robert Lewis: Is there anything more you could say regarding the strength of this new operator since they're presumably set to become one of your largest tenants? And in this agreement, was the rent level set and the term of the lease and all that? Or is that still to be negotiated?
David H. Dupuy: So Michael, it's good to get your question. We feel very good about the operator. This is an operator with a great deal of experience broadly within the behavioral health care space. But also specifically in geriatric psych, which was appealing to the seller and appealing to us. They have a strong large platform and good financial resources and a very good team. And I think most folks that are in the behavioral space would recognize the name if we told you who the name was. So we feel very good about the operator. We think it is a very qualified operator. And then your second question, remind me what your second question was?
Michael Robert Lewis: Yes. I was just wondering if the rent level and the terms of the lease were part of this agreement or if that's still to be negotiated.
David H. Dupuy: Those aspects are still in negotiation. So basically, we're negotiating that part with the new tenant, prospective new tenant and buyer, and they're continuing to do their due diligence with the platform. So that is -- we're working through that right now.
Michael Robert Lewis: Okay. Got it. And then as far as the notes, the assurance notes, you talked about that, you took the reserve. Maybe to just put a point on this, I mean, what's the chance of collecting all or part of the interest and the principal on those notes?
David H. Dupuy: Look, I think part of why we reserve the remaining balance of the notes is we don't believe there's going to be a meaningful pickup. We are very focused on trying to get as much as we possibly can in this transaction. But part of the reason we reserve the remainder of the notes and interest is because we don't think there is a meaningful piece. All of that being said, that can evolve and change. But I think for the purposes of everybody's models, we shouldn't expect a $5 million or $10 million recovery here. I think that would -- again, we would work to make sure that, that happens, but we're not expecting it.
Michael Robert Lewis: Okay. Back to this question, you asked a couple of times about how you'll pay for the pipeline of acquisitions. How much can be bought in 2025? And is there flexibility as far as the timing, something stabilizes and you have kind of a window. And I'm also wondering, is there any chance maybe it's early to answer this. Is there any chance you could pass on one or more of these? Is that an option?
David H. Dupuy: These are under purchase and sale agreement. So it's not our -- we would not anticipate looking to pass on these. We view this as very attractive real estate in great markets and so it's our desire to move forward with these acquisitions. And so obviously, there are other levers that we can pull. Candidly, we think the best process for us is to have some of the capital recycling that we've talked about pay for this because as we've discussed in prior calls, we do not want to over-lever the balance sheet and so we're committed to doing that. But yes, I mean, look, like I said, these are very attractive assets. There are a number of things we can do, but our goal is to get these closed, but to get them closed without adding meaningful leverage to our balance sheet.
Michael Robert Lewis: Okay. How do the disposition cap rates compare with the acquisition yields?
David H. Dupuy: So it's still early. We've got to bring these things into closing. But I would say somewhere between the 7.5% and 8% range is kind of where we're thinking these things would close and could be even better than that, but I think 7.5% to 8% is what we're looking at.
Michael Robert Lewis: Okay. Great. And then last one for me. Looking at your lease expirations coming up 5% of the portfolio in the second half of this year, 12% in 2026, what's your expectation for core occupancy? Do you think that goes up or down over the next 4 to 6 quarters?
David H. Dupuy: I think we have and part of the reason we made the change we did is we've got a lot of embedded value in our portfolio. We don't feel like we're doing or have been doing as much as we can in terms of driving occupancy where we think the portfolio can go. And so look, Mark has got to get his footing, and he's been with us now a little over 2 months. But his background and experience and everybody's focus is on really driving the core portfolio's performance. And we think we've got a good head start even before Mark got here, but I think we will continue to make progress in that -- from that perspective. I mean my thinking is we ought to be over the next -- into 2026, we ought to be able to add 100 basis points or more to our occupancy but it's going to take us some time to get there. It's -- this isn't something that's going to happen overnight. It's going to take a lot of hard work, but everybody in the company is very focused on making sure that we drive performance in the portfolio. And so leasing is obviously going to be a big part of that. So it's work to be done, but we feel like we've got the right team to do that work.
Operator: And ladies and gentlemen, at this time, we will be ending today's question-and-answer session. I'd like to turn the floor back over to Dave Dupuy for any closing comments.
David H. Dupuy: Jamie, thank you very much, and thank you, everybody, for joining the call today. I look forward to talking to you later this fall.
Operator: And with that, ladies and gentlemen, we'll conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.